Operator: Welcome to the Cohen & Steers’ Second Quarter 2013 Financial Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, Thursday, July 18, 2013. I would now like to turn the call over to Mr. Salvatore Rappa, Senior Vice President and Associate General Counsel. Please go ahead, sir.
Salvatore Rappa: Thank you, and welcome to the Cohen & Steers second quarter 2013 earnings conference call. Joining me are Co-Chairman and Co-Chief Executive Officers; Marty Cohen and Bob Steers; our President, Joe Harvey; and our Chief Financial Officer, Matt Stadler. Before I turn the call over to Matt, I want to point out that during the course of this conference call we may make a number of forward-looking statements. These forward-looking statements are subject to various risks and uncertainties. There are important factors that could cause actual outcomes to differ materially from those indicated in these statements. We believe that some of these factors are described in the Risk Factors section of our 2012 Form 10-K, which is available on our website at cohenandsteers.com. I want to remind you that the Company assumes no duty to update any forward-looking statements. Also, the presentation we make today contains pro forma or non-GAAP financial measures, which we believe are meaningful in evaluating the Company’s performance. For detailed disclosures on these pro forma metrics and their GAAP reconciliations, you should refer to the financial data contained within the press release we issued yesterday as well as in our previous earnings releases each available on our website. Finally, this presentation may contain information with respect to the investment performance of certain of our funds and strategies. I want to remind you that past performance is not a guarantee of future performance. This presentation will also contain information about funds that have filed the registration statement with the SEC, which had not yet become effective. This communication shall not constitute an offer to sell, but the solicitation of any offer to buy any securities. For more complete information about these funds, including charges, expenses and risks please call 800-330-7348 for perspectives. With that, I’ll turn the call over to Matt.
Matthew Stadler: Thank you, Sal. Good morning, everyone, and thanks for joining us today. Yesterday we reported net income of $0.34 per share, compared with $0.36 in the prior year and $0.34 sequentially. The first quarter included an after-tax expense of $0.10 per share, primarily due to costs associated with the offering of Cohen & Steers MLP Income and Energy Opportunity Fund. After adjusting for these items earnings per share for the first quarter would have been $0.44. Revenue for the quarter was a record $77.8 million, compared with $67.4 million in the prior year, and $72.5 million sequentially. The increase in revenue from the prior year was attributable to higher average assets, resulting from market appreciation, the launch of two closed-end funds and net inflows into open-end funds, partially offset by net outflows from institutional subadvised relationships. Average assets for the quarter were a record $50.2 billion, compared with $43.6 billion in the prior year and $47.4 billion last quarter. Our effective fee rate for the quarter was 56.3 basis points, up from 55.9 basis points last quarter. The increase was primarily due to a shift in the mix of our assets under management. Operating income for the quarter was $28.6 million, compared with $26.1 million in the prior year, and $20.7 million sequentially. Excluding the closed-end fund offering costs, operating income for the first quarter was $28.5 million. Our operating margin decreased to 36.7% from 39.4% last quarter after adjusting for the first quarter offering costs. The 270 basis point decline was primarily due to higher distribution expense and G&A to revenue ratios. Pre-tax income net of noncontrolling interest was $25.2 million for the quarter, compared with $25.1 million in the prior year, and $23.3 million sequentially. Noncontrolling interest represents third-party interest in the funds we have consolidated. Excluding the offering costs, pre-tax income for the quarter was $31.1 million. Assets under management totaled $47.8 billion at June 30, a decrease of $1.5 billion or 3% from March 31. The decrease in assets under management was attributable to market depreciation of $1 billion and net outflows of $449 million. At June 30, our real estate strategy comprised 51% of the total assets we managed followed by global and international real estate at 21%, preferred securities at 11%, global infrastructure at 9% and large cap value at 8%. We are encouraged by the increased interest in our core strategies as evidenced by our institutional pipeline, which is the largest that has been in some time. Bob Steers will provide some color on this in a moment. Open-end funds had assets under management of $14.4 billion at June 30, essentially flat with March 31, as market depreciation of $364 million was offset by net inflows of $359 million. This marks the 17th consecutive quarter of net inflows into our open-end mutual funds. If you annualize second quarter flows, open-end funds had a 10% organic growth rate. Assets under management in our closed-end funds totaled $8.8 billion at June 30, an increase of $50 million from the first quarter. The increase was due to inflows of $281 million into Cohen & Steers MLP Income and Energy Opportunity Fund from the exercise of the underwriters’ over-allotment option and the deployment of the funds leverage facility. This was partially offset by market deprecation of $231 million. Assets under advisement decreased $634 million or 8% from the first quarter, primarily from outflows in model-based strategies attributable to our business in Japan. Moving to expenses, on a sequential basis expenses as reported, decreased 5%, but excluding the closed-end fund offering costs from the first quarter, expenses increased 12%. The increase was primarily due to higher employee compensation and benefits, distribution and service fees and G&A. Compensation to revenue ratio for the quarter was 32% consistent with the guidance provided on our last call. After adjusting for the closed-end fund payments made in the first quarter the increase in distribution and service fee expense was attributable to higher average assets in our open-end mutual funds and payments made in the second quarter related to the exercise of the underwriters’ over-allotment option to our closed-end fund. The increase in G&A, which was greater than the guidance we provided on our last call, was primarily due to higher reimbursement cost on two of our open-end mutual funds. These funds have expense caps, which require the advisor to reimburse them for cost incurred in excess of the cap. On a sequential basis, non-operating income decreased $6 million net of noncontrolling interest. The decrease is primarily due to market depreciation in our seed investments. As a reminder, the loss from trading caption includes the results of seed investments that we’re required to consolidate, including interests held by third-parties. After adjusting for noncontrolling interests our non-operating loss was $3.4 million. Turning to the balance sheet, our firm liquidity totaled $181 million, compared with $166 million last quarter and our stockholders equity was $234 million, compared with $223 million at March 31 and we remain debt free. Let me briefly discuss a few items to consider for the second half of 2013. Our projected tax rate for 2013 increased to approximately 38% from 37%. Previously we projected non-operating gains for 2013, which due to accumulated capital loss carryforwards would have resulted in no associated tax expense. Based on second quarter results and the redemption of some of our seed capital, we are now projecting a lower amount of non-operating gains for the year. The cumulative effect of this change in estimate was reported in the second quarter, resulting in an effective tax rate of 39.2%. We expect that our effective tax rate will approximate 38% for the remainder of the year. With respect to compensation and benefits we expect to maintain a 32% compensation to revenue ratio, and finally we expect G&A to approximate 15% of revenue for the second half of the year with G&A in the third quarter being slightly higher than the fourth quarter. Now, I’d like to turn it over to Bob Steers.
Robert Steers: Great. Good morning. As you already know the latter half of the second quarter was marked by dramatic reversal and increased volatility in both of the debt and equity markets. Chairman Bernanke’s taper remarks triggered a decline in bond prices and a record-setting stampede out of almost all fixed-income strategies further exacerbating investor losses. Many believed June will prove to be the turning point for the multi-decade bull market in fixed income, but only time will tell. Coincidentally, investors in the equity markets also struggled to discern which industries and strategies will be the winners going forward. Income-oriented equities such as REITs got hit particularly hard. Because the Fed has indicated that it plans to pullback only if the current economic expansion is strong, self-sustaining, and characterized by rising employment, we believe that economically sensitive asset classes like REITs are ultimately winners in this cycle and certainly should not trade in sympathy with bond markets. In any event the second quarter was not only a period of transition for the market, but for Cohen & Steers as well, and let me briefly recap some important changes that occurred in the quarter. First and most important is investment performance, and we’re pleased to report that for the 12 months ended June, five out of seven equity strategies are meaningfully ahead of their benchmarks and our flagship, U.S. REIT strategies at or near the top of the charts versus our competitors. As you may recall, it was exactly one year ago following a period of underperformance in our U.S. and global REIT strategies that we made significant changes to the investment leadership of that group. Relative performance has been improving since then, and as I commented earlier, the fundamental outlook for real estate and REITs is very favorable. Turning to our non-equity REIT strategies listed infrastructure is 123 basis points ahead of its benchmark year-to-date and more than 340 basis points over on both of three-year and five-year basis. This is particularly meaningful today because institutional demand for this strategy has ramped up substantially this year. As we’ve come to expect our preferred security team has continued to perform at the elite level. During the quarter our open-end fund celebrated its third anniversary and in addition to surpassing its benchmark by over 70 basis points in the quarter. Morningstar assigned it a five star rating. Not only that, but the fund ranks in the top 1% of virtually all fixed income funds over this three-year period and is obviously also the number one ranked preferred securities fund. Lastly, our large cap value team while generating substantial absolute returns struggled a bit on a relative basis trailing their benchmark by 8 basis points. The bottom line is that our core real estate infrastructure and preferred teams are all generating strong absolute and relative returns for our investors, which bodes well for future asset flows. Turning to asset flows, our institutional flows in the quarter reflected noteworthy shifts in both investment performance and investor preferences. Although I indicated earlier, our Global REIT team has outperformed their benchmarks and most of our peers over the last 12 months. We did loose three separate accounts totaling about $550 million. While disappointing, we view these losses as a lagging indicator and a legacy of the underperformance, which ended a year ago. During the quarter we also lost two large cap value separate accounts, totaling $145 million due to investment performance. Our subadvisory and separate account relationships, excluding Japan, experienced only slight outflows of about $75 million and $16 million respectively in the quarter due mainly to rebalancing. Turning to Japan, the flow trends there continued to show solid improvement. Outflows have been trending lower all year and May was actually flat. Based on our current marketing support programs in Japan we anticipate that subject to market conditions we will experience net positive flows for the balance of the year. Finally, as of today we have five awarded, but unfunded mandates totaling approximately $460 million, and as Matt mentioned, we’re seeing a large and growing institutional pipeline of potential mandates. Interestingly, a majority of our pipeline is focused in our listed infrastructure and commodity future strategies, which is very encouraging. So to recap our outlook for the institutional segment, we think that the client outflows from REIT portfolios are largely behind us. Net outflows from Japan could turn into positive flows in the second half of this year and invest our interest in our listed infrastructure and commodity future strategy is strong and growing. Retail flows in the quarter were solid across the board even factoring in the events in June. Net inflows were $359 million led by our preferred funds, but we also experienced solid flows into most of our real estate funds. In addition, we filed a global preferred securities closed-end fund and subject to market conditions Merrill Lynch and Morgan Stanley have agreed to co-lead this transaction, which is tentatively scheduled for September. In addition, investor interest in MLPs remains high and we have filed an open-end MLP fund that should be available for investors later this year. Lastly, just a few parting thoughts. At the company level, we’re putting the finishing touches on an exciting and logical transition, whereas we’ve been known as a REIT specialist for decades. We’re near the end of our transformation into a fully integrated and hopefully industry-leading real asset manager. As I alluded to in my comments on flows, during the quarter we lifted out one of the industries top performing commodity futures investment teams. And consistent with our view that institutions are in the process of increasing allocations to liquid real asset strategies, our team is already a finalist for multiple institutional mandates, and the level of ongoing interest is very high. By the end of this current quarter we will have in place industry leading teams investing across the spectrum of real asset strategies and led by a proven investment and thought leader who will be joining us next month. Looking ahead, we have no doubt that real assets will be a rapidly expanding asset class with very few managers capable of delivering either thought leadership for compelling investment performance. Our goal is to be the industry leader in this space in each of the underlying strategies. I’m going to stop there and ask the operator to open the floor to questions.
Operator: Thank you. (Operator Instructions) And our first question is from the line of Adam Beatty with Bank of America Merrill Lynch. Please go ahead.
Adam Q. Beatty – Bank of America Merrill Lynch: Thank you, and good morning. Just a question on the strong institutional pipeline. It sounds like investors are moving more toward real assets. Do you think that’s a quest for yield or more an attempt to diversify into more on correlated assets, and also where does sort of your core real estate strategies fit into that and have you seen similar interest in those?
Matthew Stadler: Adam, I would say that the interest institutionally is mainly for both uncorrelated assets, but also they’re looking for high returns. I think that if you look at the leading endowment funds, for example, Ivy League funds and others, they have virtually zero allocated to fixed income and I mean that literally. They have 20% to 30% allocated to real assets and that is not simply for diversification. I think their expectation is that this economic expansion will continue and that’s based on a lot of factors, both cyclical but also monetary and fiscal policies that it could be accompanied by rising commodity prices and so on. So I think diversification relatively high returns is why they are investing here, not for yield. We’re seeing this increase in demand mainly in the institutional channel. We’re not really seeing that yet in the retail channels where we continue to see good interest in income-oriented strategies like preferreds and like REITs.
Adam Q. Beatty – Bank of America Merrill Lynch:
Robert Steers: I think Adam, it’s the shift in our assets under management as we have been experiencing outflows in institutional subadvised, their lower fee and when we launched two closed-end funds, and we’re having great success in our retail channel, and so that’s really accounting for the overall mix. Nothing really more than that.
Adam Q. Beatty – Bank of America Merrill Lynch: Got it. Just one more. Thanks for taking my questions. In terms of the G&A and the higher reimbursement cost, could you, I want maybe a little bit more detail around the mechanics of that, how that occurs and when and if we might expect similar in the future?
Robert Steers: Well, I think it’s on the couple of our funds where we went to market with a total expense ratio that was at or close to our advisory fee. So in essence any of the expenses that the fund absorbs in both fixed and variable would be absorbed by the advisor in the event that the expense ratio is capped at our management fee. So you’ve seen the tremendous growth that we’ve had in our preferred funds and with that growth are some incremental variable expenses, and as those expenses are incurred the advisor absorbs them. So I think that’s the reason for the checkup in the G&A. I don’t necessarily, we don’t believe that there should be any additional checkup beyond the 50% that we’re projecting of G&A for the second half of the year that would include projected expenses from the fund. So, like with every forecast you have the forecasts, you have reality, and we think we’re in a good position now, and it’s going to be based upon flows and transaction levels.
Adam Q. Beatty – Bank of America Merrill Lynch: Great. So to the extent that it’s an ongoing situation, you have incorporated into the guidance?
Robert Steers: Yes.
Adam Q. Beatty – Bank of America Merrill Lynch: Super, thank you very much. That’s all I had this morning. I appreciate it.
Operator: Our next question is from the line of Marc Irizarry with Goldman Sachs. Please go ahead.
Stephen Jones – Goldman Sachs & Co.: Hey guys, this is actually Stephen Jones here for Marc. I just have one question. I know last year, we saw sort of a change in the comp ratio accounting for a different accrual towards the end of the year and you guys sort of cited excess performances contributing to that. You mentioned on the call now that you are pleased with the improvement in excess performance, should we expect any kind of a tick-up income sort of the opposite of last year at the end of 2013?
Matthew Stadler: No, I think based on our internal projections we think 32% is the right ratio for where we are today. I mean obviously we have to see how the second half unfolds relative to those projections, so it’s a good proxy, but we’ll react to the markets, and do the right thing at year end like we always do, but I think 32% for now is, we feel comfortable with that.
Stephen Jones – Goldman Sachs & Co.: Okay great, thanks.
Operator: And there are no other questions at the moment. I will now turn the call back to you.
Robert Steers: Great, well, thank you all for listening in this morning and enjoy the rest of your summer, and we’ll speak to you in the fall. Thank you.
Operator: Ladies and gentlemen that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.